Operator: Good day and thank you for standing by. Welcome to the Globalstar Third Quarter 2024 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your first speaker today, Rebecca Clary, CFO. Please go ahead.
Rebecca Clary: Thank you, operator, and good afternoon everyone. Before we begin, please note that today's call contains forward-looking statements intended to fall within the safe harbor provided under the securities laws. Factors that could cause the results to differ materially are described in the Risk Factors section of Globalstar's SEC filings, including its annual report on Form 10-K for the financial year ending 2023 and its other SEC filings as well as today's earnings release. Also note that management may reference EBITDA or adjusted EBITDA on this call, which are financial measures not recognized under U.S. GAAP. As required by SEC rules and regulations, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in the Earnings Release, which is available on our website. Before I get into the financials, I wanted to briefly touch on the deal we announced last week and closed on Tuesday, which extends the services agreement with our largest customer. As part of the updated agreement, we will provide a new network in addition to what we operate today and separate from the satellite scheduled to start launching next year. An existing subsidiary of ours has been repurposed as a special-purpose entity to hold the new network assets. These assets will be funded by a new prepayment agreement as well as from the sale of 20% of the SPE's equity. For clarity, this is not the equity of Globalstar, Inc., the parent company. More details about these terms is provided in the 8-K we filed last week, including the elements of consideration to Globalstar as the service provider. Moving on to third quarter financial results. Globalstar had a strong quarter driven by a 25% increase in total revenue from the third quarter of 2023, reaching a record $72 million for the quarter. Service revenue increased 28% over the same period, driven primarily by wholesale capacity revenue, including an out-of-period item totaling $7.5 million following the recognition of performance bonuses for 2023 and part of 2024. As previously discussed, the consideration under this arrangement can cause variability in our financial results. As we've discussed in the past, the operating leverage of our business leads to a much greater corresponding increase in EBITDA as service revenue grows. During the third quarter, adjusted EBITDA increased 34% with a margin of 59%, up from 55% in the prior year's third quarter. The out-of-period item just discussed contributed to this increase in EBITDA margin. Excluding this item, margin would have been in line with the prior year's quarter. Moving to our balance sheet. We ended the quarter with $52 million of cash on hand and our leverage ratio remained healthy at 2.9 times. Additionally, the agreement announced last week will impact our financial and capital structure both currently and in the long term, including, among other things, capital for the new MSS network, the refinance of our 13% notes at a more favorable cost of capital, an acceleration of future service fees providing us with increased liquidity, and finally additional fees following the launch of services. These fees are expected to contribute to overall revenue as provided in last week's 8-K, that is more than double our current annual run rate, and generate a higher EBITDA margin. In short, we are very confident in our future and are well-positioned to drive long-term shareholder value from this deal, as well as our other business lines. Given the current demand environment and growth through the first nine months of the year, we are raising the low-end of revenue guidance for full year 2024 for the second consecutive quarter. We now expect revenue in the range of $245 million to $250 million and we are also raising our guidance for adjusted EBITDA margin to 54% for the full year. Finally, we look forward to seeing you all at our upcoming Investor day on Thursday, December 12th. As we've continued to expand our revenue streams and increase profitability over the past year, we look forward to providing updates to our long-term growth strategy and financial framework. With that, I'd like to turn the call over to Paul.
Paul Jacobs: Thanks, Rebecca. It's great to be on the call with all of you today. I am quite pleased with the continued momentum we're seeing in our business as our third quarter performance was quite strong. Let me start by emphasizing the impact that we can make as a company and what really motivates our team to excel. We are proud to bring the power and value of our network in enabling communications continuity when it's needed most. The recent hurricanes of Helene and Milton highlighted the critical need for first responders and people living in impacted areas to communicate. We saw our network usage increase significantly during these events as communications using our satellites was widely available to mainstream devices over our fully commercial network. We're proud to play a small but critical part in supporting our customers and helping them maintain communication with loved ones and first responders during such challenging times, and our thoughts remain with all of those impacted by these natural disasters. Now, as a key foundation underlying our efforts, the FCC approved our application to extend our existing authorization called HIBLEO-4 by 15 years to operate up to 26 replacement satellites. This reauthorization not only enhances our more than two decades of leadership in mobile satellite services, but also reaffirms our exclusive rights within the license portion of the Big LEO Band. The Commission explicitly acknowledged the essential nature of our voice and data communications services, particularly highlighting our safety of life offerings. With this regulatory clarity, we are well-positioned to meet growing commercial demand and continue executing on our mission of providing critical mobile satellite connectivity worldwide. We executed on several other key business objectives over the past several months, so let's get into the updates on these. As a reminder, we operate in various business categories, each leveraging the core asset of our spectrum position. These business lines are consumer wholesale, consumer retail, Government, commercial IOT, XCOM RAN, and n53 licensing. First, a few remarks on last week's 8-K detailing an extension and our existing services agreements with our consumer wholesale customer. As part of these updated services agreements, we will provide expanded mobile satellite services, including a new satellite constellation, expanded ground infrastructure, and increased global MSS licensing. On balance, these efforts will enhance our capabilities in the next phase of growth in this and other space-related areas. These agreements and additional new satellites should give our current and future customers confidence that Globalstar will provide vital connectivity solutions well into the future. We are excited about what this means for Globalstar's future and the vital role we will continue to play in delivering important services and we are pleased with the value creation that this deal provides for our shareholders. Our wholesale services are growing in both the government and consumer sectors. We are continuing the proof of concept that commenced this year for our government customer and have been working through the necessary steps to enter commercial service. Supporting both the consumer retail and commercial IoT businesses, we are entering alpha stage testing of the complete system that has been under development since long before I arrived at Globalstar. We expect to progress to beta testing with key customers in the upcoming quarter and have added new leadership to our product engineering teams to focus increased attention on meeting our schedules and specifications going forward. With XCOM RAN, we announced earlier in the quarter a strategic partnership with Liquid Intelligent Technologies, a leading technology group operating across Africa, the Middle East, and Gulf regions. This collaboration grants Liquid exclusive distribution rights for our XCOM RAN private network 5G access solution in these high growth markets, with some potential expansion to include our satellite Band 53 Spectrum and IoT Solutions. This partnership is expected to not only expand our global footprint but also positions us to capture significant opportunities in these rapidly growing markets where reliable high-performance wireless applications are increasingly essential. This additional channel augments our targeted direct sales of XCOM RAN into our large retail customer and that effort continues to progress well. We'll also be adding a small number of business and -- sorry, sales and business development resources to grow our pipeline of customers for XCOM RAN. We're making progress in adding band N53 support to the XCOM RAN, which should be available in the coming months. We also continue to expand the ecosystem with new radio vendors and modules. While CBRS has done a good job of developing the market for private wireless and we're seeing many opportunities to offer these same users an increase in capacity and reliability by including our band N53 spectrum. High-value autonomous deployments like ports, mines, and other industrial facilities offer band N53 a large and growing opportunity. I'm really pleased with the significant progress we've made over the quarter and through the first nine months of the year. We are in a stronger position as an innovator in the industry and we believe we have positioned the company to succeed over the long term. Strategic actions in our operations, coupled with new developments of our technology and expansions with customers will propel us into a new phase of growth. We are excited to provide more details on our strategy at our upcoming Investor Day and how we will expect to capitalize on the growth opportunities in front of us. I'll now turn the call back to the operator for Q&A and thanks everybody.
Operator: [Operator Instructions] Our first question comes from Walter Piecyk with LightShed Partners. Your line is open.
Walter Piecyk: Thanks. You had mentioned kind of the activity that you saw during the hurricane. I wonder if you could in any way quantify that because there was another company that quantified text messaging in that area which seemed I think relatively high. We didn't see any videos or any examples of it being used, but any quantification on an aggregate level would be great. And then also with the kind of latest software update to the consumer product using your satellite, can you also give a sense of kind of location of usage? Not specific like hey, it's happening in this state or that state, but more of in the middle of the desert versus evenly distributed usage across the U.S.
Paul Jacobs: So the way that we see the utilization is through parameters off of the satellite in terms of power usage, transmitted power, and things like that, so I don't -- I mean, the quantification of it's not really that useful. I don't think people have a very good sense of power transmitted off of a satellite, but I just say that it did go up dramatically and we were using the satellite capabilities quite significantly. In terms of locations and so forth, I can't really get into information related to the customer, so I think I won't be able to talk to that. I would say, though, along with what you were mentioning about the other claims, we had people that work for us in those regions trying to use the services and had been told by people from those companies that they were unable to get access and we -- our people were not able to get access. So I also heard those numbers. We also were not able to substantiate those numbers based off of what we could see.
Walter Piecyk: Got it. And then, in terms of the new announcement and what it implies in terms of a new constellation with presumably new technology and presumably better services, I understand it's, obviously, first, you have to execute on the satellites for next year, and then this one comes after that, how soon does it start to generate customer interest or inquiries, saying, like, oh, you've got this new constellation, you're going to have this capacity that you have available to you, let's talk about -- like, when do those conversations begin to give you a sense of the incremental revenue that you can start to ramp on that next constellation?
Paul Jacobs: So obviously it's early days in terms of our ability to disclose specifics to partners on the capabilities that we'll be getting with our 15%. But we have started some of those discussions, so it's more around choosing the precise services that we will provide over it, whether they're extensions of existing services or new things, and as you know, I have quite a good technology team, so there's a lot of work being done and we've hired people specifically to work on those capabilities, but I don't have something specific to tell you today. There's -- there're quite a number of things that we will be able to do with the new constellation though.
Walter Piecyk: And then just an update on the satellite launches for next year. Everything on track. And any more specific timing you want to provide on that?
Paul Jacobs: We haven't updated the timing on that, but things continue to progress according to our expectations.
Walter Piecyk: Got it. Thank you.
Paul Jacobs: Thanks, Walter.
Operator: Our next question comes from Simon Flannery with Morgan Stanley. Your line is open.
Simon Flannery: Alright, thank you. Good evening. Congrats on the new extended service agreement. Can you help us understand where we are on contracting for the satellites? Is there a deal with a vendor already and how should we think about timeline. It seems like this is normally a two or three-year cycle. I know you said the revenues will double after the year after the satellites are deployed, but any sense you could give us around that? And I guess, Rebecca, an interim point. You said previously the revenues would step up when the replacement satellites were launched. Is that still the expectation or is that superseded by this new deal?
Paul Jacobs: In terms of the work on the new satellites. These things take a reasonably long period of time. So we are in work already, but we haven't given any specifics about who or sort of where we are in that progress. Rebecca?
Rebecca Clary: And then -- yes, Simon, just real quick on the revenue, the step up in 2025 following the first launch of the MDA satellites has not been impacted by the new agreement.
Simon Flannery: Okay, great. And if we just think about run rate, is it fair to strip out the 7.5 from this quarter and think of that as being your kind of run rate going forward into Q4 and beyond or might there be other sort of lumpy one-time benefits in the coming quarters as well of that size.
Rebecca Clary: There might still be variability as we've seen for several quarters over the past couple of years. But -- and yes, that is appropriate. The 7.5 is basically 2023 and then first half 2024. So if you're just looking at the third quarter in isolation, you should strip that out.
Simon Flannery: Perfect. And then just one last one. I know you referenced us to the 8K and I'm sure we'll get more on the 12th of December, but could you just help us a little bit with the cash in and out from this deal as you go forward and get the money and then pay for the satellite constellation. Just if you give us a simple sense of what comes in, what goes out over the coming several years.
Rebecca Clary: So with the new deal, it's funded by the prepayment agreement, the $1.1 billion infrastructure prepayment and then the $400 million sale of 20% equity in the SPE. So that $1.5 billion will come in in advance of the CapEx needed on a quarterly basis. And so it'll come in and out pretty quickly, right, over the next few years during the construction period.
Walter Piecyk: Okay, great. And then there was also the debt refinancing.
Rebecca Clary: Yes, so that is the 8-K that I think was filed this morning before market, and as that 8-K stated that money has come in and has gone out to fully repurchase those notes.
Walter Piecyk: Great, thanks a lot.
Operator: Thank you. Our next question comes from Logan Lillehaug from Craig-Hallum. Your line is open.
Logan Lillehaug: Hi, good afternoon, guys, and nice results here today. I want to start on the Liquid Intelligent deal that you guys kind of referenced there. First, do you have any sense or can you give us any sense as to when that might hit the financials and is that sort of a strategy that you guys will look to maybe duplicate here over the next few years?
Paul Jacobs: So we're in the process of working through some proof of concepts with them and the proof of concepts are really intended to train their team up because, obviously, these systems are complex, so that will happen prior to us announcing sort of other customers, but you will see as coming reasonably soon other -- sorry, proof of concept opportunities with them. And in terms of duplicating that, yes, I mean it's our intention to use value-added resellers. We obviously do that on the satellite side as well. And one main reason is because a lot of these are kind of deep vertical applications and while we have spent a lot of time understanding and co-developing the solution for the micro fulfillment centers, we don't expect with the size of the team, both on the development and sales side to become experts in every deep vertical. And so having partners that have those -- have that expertise has been useful to us in the past on the space side and we expect it will be the same on the terrestrial side.
Logan Lillehaug: Got it, thank you. That is all for me.
Operator: [Operator Instructions] Our next question comes from Griffin Boss with B. Riley Securities. Your line is open.
Griffin Boss: Hi, good afternoon. Thanks for taking my questions. First one for me, Rebecca, just curious. You talked about the out-of-period performance bonuses kind of driving some of that outsized result. Was this something that was anticipated or incorporated into the prior guidance or could we look at that one-time item as kind of being the majority of the reason you're pushing the low end of guidance up?
Rebecca Clary: It was. Well, first of all, there's several performance bonuses that are available to us under the agreements as we've talked about before. I don't remember exactly how much this particular bonus was included. We were probably included at the midpoint, and so it might have been a factor in lifting that bottom end, but it wasn't the only factor.
Griffin Boss: Okay, got it. Thanks for that. And then just more broadly, on the global retail customer you mentioned that's progressing, is there any more detail you could provide on that. Is it progressing kind of as you expected, or is there any sort of expectation of when you might move forward to whatever the next stage of that rollout could be.
Paul Jacobs: I mean, it's going very well. We have been in the process of upgrading certain of the capabilities that were sort of requirements for a broader rollout, and that's gone well. And I think that the customer is quite pleased with where we stand and see the progress that we're making as positive. So we are, I think, in quite a good position to move forward with them. We're actually more waiting on some of their internal processes at this point in time and hope that we will soon be able to discuss sort of more progress on that. But kind of the internal aspect of it has gone extremely well and we have been meeting the dates to provide the additional capabilities that they had asked us for.
Griffin Boss: Okay, got it. Thanks, Paul. And then just last one quickly for me. You were talking earlier about alpha stage testing and progressing to beta testing, Paul, and I think you said in the upcoming quarter you expect to progress to beta testing, is that 4Q or upcoming as in first quarter of 2025?
Paul Jacobs: 1Q. Yes.
Griffin Boss: Okay. All right. Thank you. Appreciate it.
Paul Jacobs: Yes, thank you.
Operator: Thank you. I'm showing no further questions at this time, so I would like to turn it back to Paul Jacobs for closing remarks.
Paul Jacobs: I just wanted to thank everyone again for being on the call. Obviously, very exciting time for the company, lots of opportunity ahead of us, and what I'm quite proud of is as I look across sort of all of the areas, we are doing things that our customers appreciate, and therefore we are building these long-term relationships with a lot of sort of mutual support, and that is a testament to how the team's done. So I want to also say thank you to the whole Globalstar team and also thank you for all the work saving lives in some of these events that have happened. We look forward to seeing all of you on the call, or as many of you as can make it at the upcoming Investor Day, and so that will be another opportunity to interact and sort of get your questions and answer those as well. So thanks, everyone, and we'll look forward to seeing you soon.
Operator: This does conclude the program for today. You may now disconnect.